Operator: Welcome to the Badger Daylighting Fourth Quarter Results Conference Call. [Operator Instructions]. I would now like to turn the conference over to Paul and Gerry. Please go ahead.
Gerald Schiefelbein: Hello everybody, as you know Badger released our Q4 results prior to the markets opening today. We will comment first on consolidated highlights then on our regional business activities, the outlook and then 2017 focus areas and then we'll proceed to the Q&A section. So first on consolidated Q4 on the revenue side our Q4 revenue was $111 million which was 10 million or about 9.7% above Q4 last year. The general trend in recent quarters continue during the quarter with growth in our non-oil and gas markets offsetting a weak oil patch. Our oil and gas markets for Q4 really started to show less year over year decline than we've seen in the earlier quarters in 2016 so a positive trend as the year came to a close. Our EBITDA for the quarter of 28.4 million was 2.2 million or about 8.5% above last year. Total year EBITDA of a 104.8 million was about 3 million below last year and we came pretty close to making up the quarterly shortfall from Q1 as the year unfolded. For our Q4 EBITDA margin it was 25.6% which is fairly consistent with the 25.9% we saw last year. U.S. EBITDA margins were generally pretty consistent year over year with Canada down very, very slightly year over year. As of the end of the year our total debt less cash was about 37.8 million which was 0.36 times our trailing adjusted EBITDA. For the whole year the U.S. business provided approximately 66% of total revenue versus 62% last year so continued growth in the U.S. based on our expansion there. Also for the full year oil and gas revenue declined about 34% with non-oil and gas revenue up 21%, while total revenues were flat overall we saw the pace as I mentioned a minute ago of oil and gas year over year decline lessened during the last quarter. Our non-oil and gas markets continued to grow during Q4 and throughout the year as a percentage of our revenue. For the full year 2016 our non-oil and gas business comprise 75% of revenue which is up from 62% revenue into 2015 and 49% of revenue in 2014. For our Q4 revenue per truck was $27,000 023 versus $25,000 205 in Q4 last year. During 2016 we repositioned 237 units within the operations that's during the calendar year to drive overall fleet utilization and a support continued growth and this process we continued to do on an ongoing basis we always look at our utilization and John Kelly and the operations team is talking about this weekly and monthly as we go through the year. During the quarter our hydrovac build rate continued at the rate of three to six units so in total 55 units were produced during 2016 and 49 units retired. Now a couple of regional comments, for Western Canada we had a slow start to the winter oil and gas work in Q4. The market continues to be competitive and we're fighting for project work and focusing on our business development and sales activities there. Eastern Canada continued to be a competitive market in Q4 and we expect to see continued operations progress in the East as 2017 unfolds. In the Western U.S. we saw last year over year decline in oil and gas work in Q4 we're strengthening our organization there and we see a base to build from and grow from there as we go into 2017. In the Eastern U.S., the business continues to perform well and continued to perform well in Q4 with growth across a number of our markets. For the outlook we had said earlier in 2016, that 2016 would be a year of running fast to stay in place and that turned out to be exactly what happened during the year. We're seeing year over year decline in oil and gas markets lessen as I mentioned and this we see as a very positive sign going into 2017. We don't necessarily see the Western Canada oil and gas market recovering to the extent that we may see in the U.S. and I think it's pretty reasonable to expect that recovery in the entire segment will be muted. We increased the hydrovac fleet by another six units during 2016, fleet management is an ongoing focus for us and we consider replacement of older units and demand for growth units and determining our build rate. For 2017 we're presently targeting to build between 70 and 100 units for the year with the assumption of a similar range of retirements as we had in 2016 which was 40 to 60 units. For our 2017 business focus areas we will continue to build the business where we find opportunity whether it's in non-oil and gas markets or within a stabilizing oil patch. We've been on a three year journey to diversify our portfolio of clients and this has really been reflected in the progress we've seen on non-oil and gas revenue growing as part of the overall product mix. While the oil patch remains 25% of our revenue it is a very important part and a very important business segment for us rather than a dominant part of our overall revenue mix as you would have seen three and four years ago. We're focused on continued and sustainable growth. We've always managed for the long term and will continue to do so. To support continued growth we're adding operations resources to John's team and corporate resources and human resources to support our people organization. People are Badger's most important asset and the most important part of our business which is a very high intense service organization. Our slogan is best operator, best truck and it really starts with best operator. We're working also to improve the effectiveness of our sales and business development efforts and we're building our organization there to leverage our scale advantages and to improve our connections with customers at many different levels. We're also going to be reviewing our business processes and procedures throughout 2017 and our vision is to drive efficiencies throughout our growing network, it's very decentralized and common practices and procedures are going to be another way that we can leverage our scale and take advantage of our scale. We were continuing to target our revenue per truck as a target of 30,000 per month and we've seen progress in Q4 on RPT which we're very pleased with. We continue to target our 28% to 29% EBITDA margin overall and also continuing to target a doubling of our U.S. business and a doubling of our EBITDA overall for the next three to five years. So those would be some summary comments and with those why don't we turn our back to Joanna for questions and open it up to the audience.
Operator: [Operator Instructions]. Your first question comes from Yuri Lynk from Canaccord Genuity. Yuri please go ahead.
Yuri Lynk: Just with regards to the outlook, I'm wondering if you can provide a bit of color on the cadence that we should expect for the build rate in 2017 and if you can tie that into what you're seeing with revenue per truck on a trailing basis you're still quite a ways away from that 30,000 mark. So just what you're seeing early this year and how you see that that revenue per-truck getting to the 30,000 level?
Paul Vanderberg: That's a good question, Yuri and I think the term cadence is really the operative term there. A couple of color, comments there, you know we're entering 2017 in a very different position than we had going into 2016 and we have seen as you said the RPT improve as we went through 2016. With the lead times on equipment and our lead times on [indiscernible] gone out just based on strength in the U.S. economy, we're having to plan further ahead than we had to a year ago so we're taking a really hard look at our build rate but we don't have the number of completed units on the fence ready to go that we had this time last year so that impacts our build rate. We really don't have many units at all on the fence right now compared to last year and also the retirements are about the same but the RPT we expect to continue to improve John and the team have done a phenomenal job in repositioning and that position is very different than it was last year. So the overall the overall position is very different going into the new year and we thought that we should maybe get the new build rate out with our Q4 at least the range out with our Q4 activity and of course as you know we're going to continue to monitor that and adjust that as accordingly but that's our best estimate of what we think we can expect as we go through the full year, the 70 to a 100.
Yuri Lynk: Okay. And are you -- I think the policy in the past and correct me if I'm wrong but was to actually get to that $30,000 per truck metric or are you willing to increase -- sounds like you're willing to increase the build rate a little bit earlier in anticipation of hitting that Mark maybe a couple of months out is that how we should think about it?
Paul Vanderberg: Yes, you have to plan ahead and I mean if you take a look at what it takes to put a unit in service it's one thing to have a piece of equipment but it takes two to three months to train operators and if you think about our business mix a lot of our incremental growth is in new areas for us. So these are not areas like Western Canada where there is a large base of trained hydrovac available. So the training and mentoring process for operators takes longer and of course you don't have a piece of equipment operating immediately, it's a slower build process albeit extremely positive one because it's all growth. So that takes a little bit longer too and there is a little bit of a lag and the RPT kicking in a new units and that's what we're really seeing is higher mix of new units since we're looking forward to this year.
Gerald Schiefelbein: I will just add, 30,000 was never a hard trigger. It's not like we wait for the report to come in at the end of the month and say, 30,000 let's build some more trucks. It gets to be an arc around that 27,000, 28,000 and then as Paul said planning for the chassis lead times and all of that so it's not a historic kind of looking thing, Paul and John and the team will sit down and take a look at that when you see momentum building, when you see you're getting close and then also looking at retirement so it's easy to make it a rule in a spreadsheet but out here in the real world it's a bit of our arc around that number.
Yuri Lynk: Paul just second question just on your -- most of your strategic initiatives are focused on the human resources side of the business. Can you just talk about the progress you've made on reducing employee turnover, how you might be on-boarding some of these new operators versus what was done in the past and just general progress you've been making on the human resources side?
Paul Vanderberg: Yes, we're pretty pleased with the initiatives that have gotten started and as we've talked about before there's definitely a take time -- there's a lag before these things kick in. But we expect to have a Head of Human Resources on board and announced within the next six week. We have a very, very good candidate that is going to be joining us but we're not in a position to announce that right now and in the meantime we've launched a couple of initiatives. We're starting a visa program in order to bring Canadian operators into the U.S. under work visas because there is a good supply of really talented people available in Canada that are under-utilized and we have growth markets in the U.S. So that's just underway this month and we've also as we've talked about in the past we have a first group of candidates into our Badger Management training program and that's a mix of both internal and external candidates that we're having go through a three to six month training program in all aspects of our Badger operations. So they'll be available to be an supervisor , potentially an area manager, potentially a business development rep coming out of that program. So we're actually intend to have six to nine candidates in that program on an ongoing basis for the foreseeable future and that program is up and running with our first legacy, our first group of candidates there. So that's all very, very positive and we've also made some significant improvements on hiring operators. We're using temporary agencies along with their own internal staff to supplement them and our hiring rate has improved pretty significantly in the second half of 2016. So those are several specific initiatives that are very positive and very recent and longer term though are bringing out of the VP of HR and pulling together a whole overall human resources strategy, training, development, succession throughout the organization is going to benefit Badger very significantly in my opinion over the next few years but again that's not an instant benefit but it will be a very significant one as we go forward.
Operator: Your next question comes from Gavin Fairweather from Cormark. Gavin please go ahead.
Gavin Fairweather: Just curious on the energy side, by reading through your outlook it looked like you're looking for a smaller contraction in this side of the business in 2017, just trying to line up with some of the strength and leading indicators that we've been seeing on this side of the business hoping you could elaborate a little bit on your outlook here perhaps in the context of field activity pipelines and refinery work.
Paul Vanderberg: Happy to do that Gavin, I mean -- are basically -- I think we're fairly modest in our expectation for energy and we see the market continue to bottom out and it's a little different story say in Texas than it would be in Western Canada but you know I think on the production side on the EMP production side that I think continue to be kind of choppy but we have definitely seen a slowing of the year over year declines I think that's probably the most -- the biggest thing we've seen in the last quarter or two and with pipeline work we always get more than our fair share of that but again -- lot of its project work and we still do an awful lot of integrity and maintenance work too so that business and that segment is competitive and there's a limited amount of projects so we will be fighting for that and I'm sure that the team will get more than our fair share in that segment and some of the big pipeline projects that make a lot of the headlines as you mentioned on some of the indicators our experience is a lot of that takes longer to get started then folks may think than reading the headlines. So you know permitting has expired and you know it just takes time to get rebooted after these projects have gone dormant. So you know when it hits we will be there but we think it's going to be fairly modest as fires a year over year uptick in 2017 versus 2016.
Gavin Fairweather: And then maybe just on Eastern Canada in your comments you mentioned remains a competitive market and we did see revenue decline there year-over-year in Q4 after some increases in Q2 and Q3, just curious as Mark got more competitive or perhaps there is a smaller market opportunity there, any color you could provide would be helpful.
Paul Vanderberg: Gavin, just confirm for me did you say Eastern or Western Canada?
Gavin Fairweather: Eastern Canada.
Paul Vanderberg: Okay. Yes the market continues to be very competitive there and again we're continue to drive our new organization and we're getting organizational momentum as we go forward there. We will be very active on the business development side, we will get our fair share and I think we see it continuing competitive but the market opportunity continues to be very good and that I mean there's a really good construction cycle there especially in Ontario. So they'll be lots of projects but we'll be fighting for them and we see that trend continuing for the foreseeable future.
Operator: Your next question comes from Elias Foscolos from Industrial Alliance. Elias, please go ahead.
Elias Foscolos: I want to focus a bit on some of your longer term plans instead of quarterly type numbers. You talk about growing the U.S. business in three to five years, is there any comment that you want to add on where you see the Canadian business going over that timeframe, is the implication it'll stay relatively flat?
Paul Vanderberg: Yes that’s good one. We really didn't highlight any numbers on the Canadian business but in our past shareholder presentations we're targeting a modest growth in the 10% to 15% range and that's what that's our target will continue to be for the Canadian business but we didn’t highlighted in the comments there but I don't see any change there Elias on that.
Elias Foscolos: Okay. Now I want to focus a bit on the comment on the U.S. business doubling in three to five years. I can see part of that doubling or part of getting to that goal through increasing revenue per truck but ultimately you're going to have to build -- my conclusion is you will have to build a lot more trucks to get there like a multiple more than you're currently 72, 100, would that be a correct assessment or not?
Elias Foscolos: Yes there will be some benefits from improved RPT but we're going to need to build quite a bit few more trucks and get them working and employed in the U.S. And you know from my perspective you know the best way to look at our potential for doing that is to look at what John Kelly and the team have done the last four or five years which has been precisely that. So we're adding to our operations organization, John has gone from two to four regions in the U.S. So we had Liz Peterson in the East, Tim Reiber in the west, we've now gone to four regions so Liz has the East, we have a new gentleman who just joined us from Waste Management Mike Tunney who is running the central business, 38 years' experience, great operator. Tim has the West region and we're just in the process of adding a VP for the new Pacific region. So we're looking at addressing span of control and having more resources in very talented experienced resources to be coaching our younger area managers and our regional folks and also to be driving opening new locations and adding to the fleet. So these are all moves that have been made since the last quarter and John has a lot more generals on the field to direct operations and we're very, very excited about that. So you know when you think about long term growth it's driven by people and you know there's only so much span of control that John and Liz can cover. So we recognize that and we're adding the resources to drive that growth. So that's really where it starts and with John's new horse power I think he's going to have a great run here in the next few years.
Elias Foscolos: Okay. I guess two more questions. Gross margin, cash gross margin which does relate almost directly to EBITDA margin, can we look at a couple points lower in the future than the past based on the mix changing. I mean the assumption being that oil and gas was relatively higher margins than construction and utility?
Paul Vanderberg: Yes I think and Gerry you can jump in on this one but from the higher level comments I don't think that the recent margin, the lower margins has really been as much mix change as they have been just pressure in some of the oil and gas markets so that's where we've seen our most margin pressure and when you look across the portfolio and this would be a color comment rather than an analytical comment but you know the margins in the non-oil and gas business are fairly consistent and pretty good you know compared to the overall margins so you know it's really hard to generalize and say it's one way versus the other and the business is also always had regionality in margins and so that is part of the mix also. And Gerry I don't know if you want to make any more comments on that but that would be some color from my perspective.
Gerald Schiefelbein: Yes so Paul I think you hit the highlights switch which is margin has always been a region by region item, certainly in the heyday of Northern Alberta oilsands revenue was really high, the cost were really high up there too. So you know margin percent was probably not any different in the oil and gas than it was elsewhere. Now again that's caveated region by region, some places are more competitive than others. So again I wouldn't see it as a mix item but I think you would just say that you know competitive dynamics in particular regions will change the margin in those regions but it's not really a mix issue.
Elias Foscolos: And one last question and has to do with the balance sheet you clearly have a balance sheet that allows you a lot of flexibility in terms of undrawn line, any thoughts on utilizing that beyond just truck build which you can fund from cash flow pretty much I think.
Paul Vanderberg: Well we continue to talk about that and we just had our Friday board meeting and talked about that as part of our overall agenda and the board is very thoughtful about optimizing our returns for shareholders but at the same time we all recognize the first and highest use of shareholder return is the building more Badgers and putting them to use. So we're looking at our build rate and how that may trend and that would be our preference to build more Badgers and put them to work for you guys as job number one but the Board is certainly would look at other things over time you know if the build rate did not use up our cash on an optimum way for the shareholders perspective.
Operator: [Operator Instructions]. Your next question comes from [indiscernible]. Luke, please go ahead.
Unidentified Analyst: I appreciate the additional disclosure and note 24 in your financials. I was just wondering if you could walk us through how it works and how you did it differently before and what exactly you're doing now to better understand. Thank you.
Paul Vanderberg: Gerry, do want to go for that and I'm remote today everybody I'm not with Gerry so it might be good if he takes the lead on this one.
Gerald Schiefelbein: So you're referring to the additional lines of cash flow?
Unidentified Analyst: Yes, note 24.
Gerald Schiefelbein: Okay. So to be truthful we have over time had many questions about cash flow and why it didn't look like our EBITDA numbers and so that offline we end up doing quite a bit of reconciliation for folks. So rather than having that happen ad-hoc we thought and actually had some suggestion from a few analysts why don't we just put more detail in. We think it is clearer, easier to read and that's why we have additional disclosure.
Unidentified Analyst: I appreciate that. Not just, not the rationale for giving additional disclosure but if you could just walk us through the details on how it worked before and how it's working now.
Gerald Schiefelbein: Yes let me turn you over to Allan, our Controller and he'll give you kind of the blow by blow.
Alan Richter : So the biggest change was to pull the finance costs up into cash flow from operations and bringing that up, bringing the accrual from the financing activities line. So we pulled up the accrual into the operating activities and we saw that the interest paid being down in financing activities and we also we wanted to show bring all the tax accrual above the cash flow from operating activities before working capital adjustments so that we could clearly show the tax payments as well as get more clarity on the split between the share based compensation expense versus the amount of the payment. So we're providing a lot more information, a lot more clarity and a lot more details on the cash flow.
Unidentified Analyst: And so that the interest on the senior note or is other things in there?
Alan Richter: That's primarily the interest on the senior notes.
Unidentified Analyst: And I want to commend you on your ability to collect on your receivables and I was just wondering does the company also employ on accounts receivable factoring arrangement of any kind and it's a common thing for many companies to use?
Gerald Schiefelbein: No we do not. We collect our -- we have no factoring arrangements.
Operator: Your next question comes from Jeff Fetterly from Peters and Co. Jeff, please go ahead.
Jeff Fetterly: Just a couple clarification questions, your prepared remarks you talked about Eastern Canada remaining fairly competitive, just curious how you would assess sort of the progress of rebuild on the Badger side there and what your overall outlook is for the Eastern Canadian piece.
Paul Vanderberg: Okay, as we mentioned a minute ago you know it's our team and George Chung has been on board for about 15, 16 months now and the team is coming together you know John and the ops team is working very closely with George and the real focus is on business development at this stage and making sure we get our fair share of the work that's out there. It is competitive and it is price competitive and that's going to continue to be the case but lets say we're going to get more than our fair share and we're going to continue to work that but it's really a business development and sales focus, and the go forward as opposed to what we focused on in the past which is optimizing our branch network and setting up a branch in the center of the GTA and optimizing the locations there. So it's really a sales focus you know for the near term for sure.
Jeff Fetterly: Do you to expand the footprint to better penetrate the Eastern Canadian market or do you think you have the footprint established now?
Paul Vanderberg: Yes, I think our footprint for Ontario is a good one. We have a mix of corporate operations and our operating partner franchise partners there and I think we have a very good footprint there and we have some great operating partners, in Eastern Canada they cover outside of the GTA for us and they have some very, very good business people there and so I think our network is getting Ontario overall is pretty well set. We haven't really expanded East of Quebec and we have an operating partner in Quebec that does a good job for us but we haven't expanded east and we're really focusing on Ontario for the near term.
Jeff Fetterly: Okay. From an overall standpoint I know you've talked about 70 to 100 new units this year, what would you need to see to increase to build program further. I think that as Gerry said -- its not necessarily a straight number like a 30,000 but I think it would be continued progress in RPT and utilization and prospects for additional growth and/or new areas geographic areas that we would set up in. So that would really be the more the lead drivers, certainly the RPT is a measure we look at very closely. We also look at utilization very closely because there are differences in regional pricing and rates. We look at all of that but as far as driving, I'm sorry the build rate it would be growth and the expansion in new areas not only penetration in existing areas but growth in new areas it would be a mix of both of those. So it would have to tie into the plans that our regional folks are driving and make sure we have the equipment to support them.
Jeff Fetterly: Your comments really are about the lead times for chassis and other major components having increased, how pole long would it take you from a lead time standpoint to point to further increase the build program if you wanted to do that.
Jeff Fetterly: Well that the chassis lead times have gone from about six weeks out to about 20 weeks, 16 to 20 weeks over the last quarter and a half and it's really reflective of -- it's one of those indicators on the strength of the U.S. economy for everyone on the call I certainly pay attention to that and it's not an issue but we just have to plan farther ahead of time. So we work very closely with our chassis suppliers and have excellent relationships with them and we're working hand in hand with them. We just have to have more orders in the system and plan ahead more. So it really puts a premium on our planning and as Gerry said you know John, our folks in Red Deer and myself talk about this weekly and adjust the go forward rate as best we can. So it's a real focus area for us. I think we will be just fine on chassis, like I say that we have great support from our ramp our suppliers, it's just how we plan and work within their systems. Chassis have the longest lead time rate that we have right now.
Jeff Fetterly: In the past you've talked about three to six months being sort of the window to increase build cycle, would that have changed materially or are you just have to be more nimble to get to that three to six months?
Gerald Schiefelbein: Yes well we have upgraded and added to our staff in Red Deer and so that would have been part of our three to six month conversation earlier and we have done that, the guys have done a great job in bringing on some experience folks and a lot of those folks worked for us before the downturn and the comeback so the people we're building back on and so it's really now a matter of just adjusting the components sourcing and chassis is the critical path now. So I don't know if I'd use the word nimble but I think good planning will help us be able to meet all of our needs there.
Jeff Fetterly: Okay. And lastly the non-hydrovac business, what is your thinking or outlook on that outside and I guess also from a CapEx standpoint do you expect to be allocating much capital there in '17?
Paul Vanderberg: Yes I think for '17 what the shareholders should expect is for us to be driving the hydrovac business very hard, it's certainly the best return for shareholders and that will be our priority for 2017.
Operator: Your next question is a follow-up from [indiscernible]. Please go ahead.
Unidentified Analyst: Just to follow up on the last question that was asked on the non-hydrovac business, I was wondering if you could tell us what's included in 35 million other revenue line?
Gerald Schiefelbein: So things other than hydrovac are going to include -- the main parts will be two of our main other businesses both field tech and Benko Sewer Service, we have a small tiny shoring division that’s stuck in there and then it's going to be the other types of hydrovac ancillary equipments water trucks, water trailers, combo units sometimes we get away with charging people for pickup trucks to and calling crews to and from there. So it's all not associated with hydrovac but non-hydrovac type services and that's what makes it up.
Unidentified Analyst: Could you tell me what the size of each of those is?
Gerald Schiefelbein: We would disclose that on our financials if that is something we want to disclose.
Unidentified Analyst: Okay, but just since we know that the Benko business has done well recently. So I was wondering if you could tell if its closer to like 5 million, 10 million or 20 million, just a ball park?
Gerald Schiefelbein: No I don't think I would on a call like this do more disclosure that I hadn't done publicly.
Operator: Thank you. And at this time there are no further questions. You may proceed.
Paul Vanderberg: Okay. Well thank you everyone for ringing in on the call as always Gerry and I are available if anyone would like to chat I think we're pretty easy to get a hold of and we very much appreciate the support for Badger and looking forward to a good 2017. So with that again thank you for your interest and I'll ring off.
Operator: Ladies and gentlemen this concludes today's conference call. We thank you participating and we ask that you please disconnect your lines.